Louis Schmid: Good afternoon, ladies and gentlemen, and welcome to Swisscom Full Year Results Presentation 2020, this year in a virtual format. My name is Louis Schmid, Head of Investor Relations. We start today's online meeting with the program and the short introduction on Page number 2. Our CEO, Urs Schaeppi, presents in the first chapter the highlights, the main achievements of last year commercially, operationally and financially. In chapter 2, he gives a strategy update and elaborates on the road map '21 and beyond. In chapter 3, our CEO gives a short overview of the achievements 2020 within Swisscom Switzerland before updating on the network developments and ambitions, explaining our road map of activities as well our strategic road map for B2C and B2B and presenting the operational excellent results and plans. Alberto Calcagno, CEO of Fastweb, will then discuss in chapter 4 the industrial and financial results and performances of our Italian business and its plans going forward. After Alberto's presentation, Mario Rossi, our Chief Financial Officer, will present in detail in chapter 5 our financials 2020, including the outlook for '21. And in the last, chapter 6, a wrap-up with some final remarks from our CEO, Urs Schaeppi. After the presentation of approximately 90 minutes, we will then move into the Q&A session. We can start at around half past 3. If it's earlier, then we start directly. For this part, Dirk Wierzbitzki, Head of B2C Swisscom Switzerland; and Urs Lehner, Head of B2B Swisscom Switzerland, will also attend and support us in any specific Swiss questions. With that, I would like to open officially today's meeting and hand over to Urs for his presentation. Urs?
Urs Schaeppi: Yes, good afternoon, ladies and gentlemen. I'm happy to present you good and solid results of Swisscom. We have EBITDA of CHF 4.38 billion, so stable compared to previous year. We have a free cash flow of CHF 1.7 billion, so our dividend is well covered. And we have a good and stable market performance. So overall a good and solid results. If I go to our highlights, I just wanted to point some of them. The first one is our leading network. So we were able to win all the mobile tests in Switzerland. So we have a high-performing network. We also showed our leadership on fixed net. So we were able to have a pilot on our network where we transported a bandwidth of 10 gigabits per second in our environment, fiber environment, so another example that shows our performance on the technology side. On the customer side, customer experience side, we have good and strong net promoter figures, very high figures, in B2B, I would say one of the highest ever; and good and strong performance in SME and also in the retail market. On ICT, we were able to show our leading position. So we have a broad product portfolio in the B2B market, which includes cloud solution, security solution. And a lot of specialists position ourselves as the number 1 cloud provider with a hybrid cloud strategy in Switzerland. On Fastweb, certainly another highlight, we were able to grow. We have a strong growth of approximately 4% to 5% in a very competitive Italian market. So a good performance of Fastweb. And maybe the last point to mention on this slide is our sustainability road map. So we were ranked as the number 1 company, telecom company, worldwide on ESG, so it shows that our ambition also results in a good ranking. We were also the first company, in Switzerland listed company, which published a green bond, which also underline our strategy of sustainability. On the next slide, Slide 5, some remarks to our performance during the COVID crisis. So Swisscom is resilient. We were resilient in this COVID crisis. We hadn't any problem. We're always very performing networks even with a much higher load during the lockdown phase; and it shows that our investments, looking-forward investments, were good. So we had enough capacity in our networks. Also, on the customer side we performed well. We get very good feedbacks from our customers. During the COVID crisis, we were very flexible. We helped our customer to install home office solutions. As an example, we helped customer which were blocked outside Switzerland with roaming reduction -- roaming rebates, which actually results then also in a good Net Promoter Score. COVID has not only caused some disruption in the economy. I would say COVID also brings for a company like Switzerland a lot of chances. So what we certainly get is a push in digitalization. So digital transformation is an opportunity for a company like Swisscom, and we'll come later to it. And certainly, also the reputation of telecommunication companies during this crisis went up. I think the whole population remarked that, without telecommunication, such a lockdown wouldn't have worked. So it shows the importance of our industry. On Slide 6, some remarks to our market performance. So if you look to Switzerland and if I have to summarize it in one word, I would say flat or stable. So we have from the subscriber side, also from the market share side, approximately a stable situation. It shows that the market is totally saturated and that we have a kind of washing machine at the lower end of the market, but Swisscom performed well. We see on postpaid, in the fourth quarter, we were able to have net adds of 31,000. On TV and broadband, we were flat. On the right side of the chart, we see also the market shares, approximately stable market shares. So good performance in Switzerland in a very promotion-oriented market. If you look to Italy, you see that there we had a very strong fourth quarter, that we were able to have good growth on mobile and on broadband. So it shows that Fastweb performs well in the Italian market. Here on this Slide 7, our key financials. What you can say is actually that we have a stable EBITDA. And then on the lower line, we see the development of the whole group. So EBITDA compared to previous year. In Switzerland, Swisscom Switzerland, it was minus CHF 19 million. And Fastweb had growth of CHF 38 million, which results overall on an underlying performance approximately at 0. The main effect on it were in Switzerland we were able to decrease our costs, indirect costs, by CHF 129 million. We had better direct costs because of the device coupling of CHF 66 million and then something -- slightly better subscriber acquisition costs by CHF 19 million and then some other effects, which results in this minus CHF 19 million EBITDA in Switzerland. The service revenue is mainly impacted by pricing; by the RGU mix, where we have a better dynamic in the lower end of the market. That's why we have some dilution of the revenue mix in the retail market. The service revenue -- or the net revenue overall, we see it is CHF 11.1 billion. The main effects on it on -- are pricing and also some roaming revenues which went down because of COVID, but overall the major driver behind it is the pricing in Switzerland. CapEx were in a region of CHF 2.2 billion. They are lower than previous year, but here I have to mention that in the previous year we had the spectrum auction where we had to pay 119 million -- approximately CHF 119 million for the 5G spectrum. If you will take this out, you see that the CapEx are stable to previous year. Operating free cash flow is at CHF 1.8 billion, and we were able also to reduce our net debt. So overall good and strong performance for the group. Some words to our strategy. So our strategy works. And some messages to our environment: I think these are not new for you, but it's good to have them in behind. Our sector is a CapEx- and will stay a CapEx-intensive business. So the business and the competition will keep CapEx high. The main challenge is how do we monetize this CapEx. We will come later to it. That's certainly the major challenge. And because we are in a fixed-cost business, market shares are important, and that's why we are fighting to defend our market shares. Digitalization is an opportunity for our industry and especially also for Swisscom Switzerland. In Switzerland, we have a mature market but also a robust environment. So a stable economy and then good environment but high competition, and maybe as an opportunity, that's also because of the strong positioning of Swisscom in the B2B market. There are opportunities in the ICT market. Italy, Alberto knows it much better than I, but Italy is a price-sensitive market and very competitive market, but also there we have opportunities to increase our market shares. And to have growth in the B2B market or in the ICT business. The fundamental or the assets of Swisscom are on this chart. I don't want to read them all but certainly our leading market position with a clear market lead on market shares in the region of 50% to 60%, in B2B even much higher market shares; our strong brand. We have a strong, credible brand. We have a good reputation. This is the base for upselling and cross-selling. We are a technology leader, a very innovative company. And in Italy we are certainly a successful challenger. So these are a bit the fundamental of our business on which we can build our strategy. Here are the main pillars of our strategy, actually summarized it in a very simple way. Our ambition is to have the best customer experience. This is a combination of an excellent network with innovative products and an excellent customer service. These 3 ingredients together bring a superior customer experience, which enable us to charge a price premium. The second topic is an important one for our industry but also in the situation of Swisscom as the market leader where we have also some imbalanced market shares in the Swiss market. That's operational excellence. So we have to work on our cost structure. The management is very committed to work on operational excellence. And the main question is what are the main pillars to increase our efficiency. And that's certainly, on the operational side, do it better. Do it more efficient. Do it leaner. That's one pillar. The second pillar, that's digitalization. There you can, there we can do a lot through digitalization. And also smart investments is an important pillar for this operational excellence. Then the third pillar of the strategy in Switzerland is creating new growth. And that's mainly in Switzerland, if you look outside the telecommunication business where each Swiss franc in ARPU counts, it's the IT business. So in IT we can do more. If I look to our cloud business or security business, we were able to have a growth which is slightly below 10% in the last year. So that shows the momentum what we can get there. And then certainly the fourth important pillar of our strategy, that's Italy, where we have a successful challenger which can increase market shares, which can become -- which can have a stronger position in the wholesale market but also in the B2B market. Here some messages to our road map for 2021. And I don't want to go in -- deep in it, but you see it's a combination of market -- leading market position, defending our leading position in the Swiss market. So an attack and defense strategy. Defense mean on our core brand, through a superior value proposition, to get a high customer loyalty with a good ARPU in our Swisscom community; and then on the attacking side, with the second and third brand, to be present, to have a strong position in the low end of the market and the more price-sensitive market. Innovation will be important to differentiate ourselves. And then transformation is also important because with this we will be able to reduce our cost structure. Shareholder remuneration is important. We know that we are a dividend stock that we have to deliver an attractive dividend. So that's a bit overall the road map. Some remarks to our innovation road map. Innovation is an important topic for us because of growth but also because of reputation and then differentiation in the market. And you see on this slide the areas of innovation for Swisscom. It's not astonishing. That network and infrastructure remains an important topic for innovation. We have -- we want to be leading on the network side. That's why we also are looking to the next chamber of innovation. Security is important in a connected world. In a digital sized -- digitalized world, security is extremely important. I think I don't have to mention it. And it's a battle, an uphill battle. Each day, the attackers are more intelligent and so you have to ramp up your security capabilities each day. Also here, with artificial intelligence and such things, we can do a lot, and that's the third innovation area. We have a strong artificial intelligent department and strong capabilities in Switzerland. We can use artificial intelligence not only for new products but also to simplify, to optimize our whole company. Internet of thing is important. Entertainment is an important topic. You certainly remember that we -- that last year we launched our blue offer, that's a converged offer, in the entertainment market. The market is coming together more and more, big screen, small screen; and Swisscom has a strong positioning in this market. So then also digitalization, digital business as new business opportunities; and digital Swisscom to optimize, to reduce our cost structure. On our corporate possibility. So we have a corporate social responsibility strategy. Sustainability is an important topic; and there we have a lot of initiatives to drive these goals, these SDG goals. And on the people side, it's important topic is to educate our people to avoid a digital divide in our population. And Swisscom is, I would say, the biggest and -- the biggest education company on this topic. Just to give you an example: Last year, we had 25,000 people which visited the lessons of Swisscom how to use these new tools in our industry. Reducing CO2, that's clear. There we have a lot of different initiatives. You have a road map also to decrease our consumption of electricity. It's important. You can also reduce then the costs. That's clear. And then on the -- more on the Switzerland level, we have the ambition to ramp up these broadband networks. Our goal is to have a coverage of 60% for our fiber networks in '25. Some words to Switzerland. So the achievements in 2020, good operational performance on networks side but also in the market. On the networks side, some figures. We have today a footprint of over 80% in the broadband market over 80 megabits per second, and we have a footprint of 32% for speeds up to 10 gigabits per second. And this is increasing. I will come later to it year by year. We have a mobile 5G population coverage of 96%, 96% population coverage. It's on 5G wide with this dynamic spectrum sharing. And we have more than 500 communities in Switzerland with 5G-fast coverage. That's the 5G where we use this 3.5 gigahertz to deliver even higher speeds. What is also astonishing was our pilot which we made with in-train coverage. So we made a 5G demo and we were able to get a speed on 5G of 1.2 gigabits per second in a train. That's astonishing, or that shows actually the potential of this 5G technology. We are phasing out 2G now at in this year, in the beginning of this year. At the end of first quarter, we will do the phase out. And then we can use the spectrum for 4G and 5G. On B2C, maybe some remarks. And it's important to increase our converged offer. FMC penetration, that's an important initiative. We have there a good product portfolio with our inOne home and inOne mobile value proposition. Approximately 70% of customers are on this inOne, and our ambition is to further increase this penetration. In B2B, certainly cloud business is also -- was an important topic and will remain an important topic. On the financial of Swisscom Switzerland. I already mentioned some of it. We have an EBITDA of CHF 3.5 billion, and compared to previous year it's approximately stable. The main dynamics is lower service revenues and also lower costs, which brings us to a approximately flat situation. Our ambition is also for the next year to decrease our costs on a yearly base in the region of CHF 100 million-plus. And if you look back to the last year, since 2017 up to 2020, that means in 4 years, we were able to decrease our costs by more than CHF 400 million, in the region of CHF 500 million. To the road map on our networks side. So our ambition is to have the best networks. It's a core pillar of our strategy. We have also a vision. You see it on the lower part of this slide, on the right side. We are convinced that mobile and fixed networks will converge more and more, and our ambition is to deliver a seamless network between these 2 access technologies. On the fiber side, we will invest strongly in the rolling out of fiber to the home. Today, we are at 30%. We will go up to 60% up to '25. Why we are doing this, to be more competitive on the one side against cable operator, but the other points are also an increased Net Promoter Score. On fiber network, the Net Promoter Score is higher. We are also able to have better ARPUs and lower churn, so also a lot of market aspect shows that 5G investments actually has a value. On mobile, our ambition is to roll out as fast as possible the 5G networks. We are challenged in Switzerland to roll them out because there is a lot of opposition against building 5G antennas. So the whole market is challenged, but midterm, long term, I'm convinced that we will be able to get a much better momentum on this rolling out of 5G networks. Here, and I think that's an important chart, you see our ambition in the network rollout. So in 2021, on the ultra broadband network, wireline network, our ambition is to increase the footprint to 90%. Today, we are at 80%. To 90% for speeds above 80 megabits per second. And on high-speed fiber to the home technologies, we will increase our footprint from 32% to 39%. On mobile you see also that we will further increase our population coverage footprint on 5G and 5G wide. We will have a population coverage of 99%. Today, we are at 96%, and we will further extend our 5G+ footprint. So these are important initiatives for us. Here, some figures, I don't want to go in detail in it, on the value of the ultra-broadband rollout. You see in '25 what will be the mix of our technology. So 60% will be on fiber to the home. 35% will be on fiber to the street, with -- in combination with G.fast technology. So we are able to have in this 35% footprint speeds up to 500 megabits per second. So that means we will have, in '25, 95% in Switzerland which has speeds up to 500 megabits and only about 5% with speeds in the region of 80 megabits. So a very fast network. And you see the evolution in the next year on this slide. We see also the effects on this strategy. You see the takeups in broad -- in brand penetration if we make this rollout to faster networks. So that means in areas where we roll out these networks we were also able to gain some penetration increases. Some remarks to the architecture, how we do this fiber to the home rollout. So in the past, we had an architecture of point to point because we were in the city with a very high density. Now we are going more in rural areas and we use the point-to-point technology. This technology, that's the established technology worldwide. 95% of the countries are doing their rollout on point-to-multipoint architecture. This technology or this approach is faster and cheaper, and we can use actually our investments in fiber to the street. So we are doing an upgrade of our fiber to the street network to fiber to the home. So we will be, with this approach, much, much faster to increase our fiber to the home footprint. And you see also that we are able -- that we are willing, on an opportunistic approach, to cooperate on a case by case. And we are not -- or we have not a strategy to be a buyer of such infrastructure. We want to have our own networks, but we are willing to cooperate if this makes business sense for us. Now some remarks to the commission -- competition commission in Switzerland. So at the end of the last year, they actually made a claim against us, and they actually asked for a layer 1 access in the central office. And so if we build out on a point-to-point -- on a point-to-multipoint architecture as it is on this chart, on the left side, if we do it in such an architecture, a rollout, the commission, the competition commission, asks for a layer 1 access for our competitor in the central office. So that's the main request of the commission, competition commission. That's a very special case because we are offering already today access on a project, on a wholesale product on a nondiscriminatory way to all our competitors, but they are asking for a layer 1 access. We are appealing against this and also against these precautionary measures because we are convinced that we have a good solution, a good wholesale access and point-to-point, point-to-multipoint technology. That's the common architecture in the whole world. So I think we have good arguments to fight against this request of the competition commission. We don't have clarity up to now. And I think, in the next weeks, we'll get some more clarity on these precautionary measurements -- or measures. And then we have -- we will certainly communicate the next steps, but I think we have strong arguments because that's a common approach how to roll out fiber to the home networks. On 5G, on Page 22, and I can be short. And we are also proud. We won all the mobile tests in Switzerland. You see all the claims on it. And we were also able to have the largest 5G coverage in Switzerland, so we are here on a good way. On this slide, on Page 23, our vision on the development of the network. So this simple converged network which is powered with cloud, fiber to the home and 5G, that's our vision. This will -- brings us a lot of advantages. It will reduce the complexity of our networks. We can do legacy phaseouts, which also reduce our costs. And it will also bring us a higher reliability because we have less complexity, more standardized network components in it. To the B2C business, here the road map. I don't want to go in deep for all these points, but you -- here you see the main focus. At the end, it's -- at the end, simply said, we have to protect our customer base. That's the value-based management of our customer base. We have a multi-brand strategy. This strategy works. We have to increase our performance in the lower end of the market. And with entertainment, we will be able to differentiate us even more. We have, by far, the best TV proposition, by far the best entertainment proposition, and that counts. Certainly also, in the multichannel evolution, there we can do more. The different channels, physical channels and the online channels, are converging more and more; and there we see opportunities for us. inOne is our key product in the retail market. So we have 2 main families in it, inOne home and inOne mobile. And you see the penetration on the right side of the chart of these products. We have 60 -- 76% inOne home penetration and 68% inOne mobile penetration. So it shows the success of this inOne mobile product family. Convergence is important. It's important and because we can decrease churn. You see we have a churn in converged offers of 6.9%, and we have a better ARPU. So that's we are pushing -- that's why we are pushing converged offers. And we are in the region of 40% to 46% converged penetration. Entertainment, I mentioned it before. That's an important topic. Last year, we launched our new product line blue. That's a combination of blue TV, of blue+. This is the content -- the paid content business with sports, with movies where we have also a lot of exclusive content. And this proposition had a very good start, so we have a high Net Promoter Score. We have better sales figures on content business, and we can even enforce our value proposition in the entertainment business. Smart life or smart home, that's still a small plant, but it's astonishing, the take-up of it, actually. If you look on the right side of the chart and if you look to the connected devices with our Swisscom Home app, you see that we were able to increase it by 200%. So it shows that there is coming a take-up in smart life. And Swisscom, which is in the majority of the households with the platforms which we have, the Internet platforms, can be a platform for smart home application. And that's why we are pushing it. We see also that the monthly active users of the home app went up by 40%. And that shows that, if we manage the smart home ecosystem well, there is potential to grow. Security. Security is an important topic, and then there we have a lot of initiatives. We were able to create growth. If you compared 2016 to 2020, we see that we were able to double the revenues. They are still on a lower level, but we are growing there. And it's not only a revenue topic. It's also a kind for differentiation ourselves in this market. Wingo, that's our attached brand. We have a successful year behind it. We had also a good January with Wingo. And you see the penetration of the second and third brands. So second and third brands are working much better in the mobile space than in the broadband space. So the penetration of the second and third brands is at 18% in postpaid mobile. And on broadband, it's growing, but it's still only at 4%. To our omnichannel approach, how we optimize the channels. Here you see the different ambitions, the roles. We define roles for these different channels, the shops more with an inspirational focus; call centers for more complex and more emotional transactions or requirements; and then the online channels, also with My Swisscom app, more for digital self care; and field force then certainly for more complicated actions, but the field force intervention are really going down year by year because we have more simple projects and more stable products. On B2B, not a lot to mention. I already told it. Here it's important to increase our positioning in the ICT SME market. We have now a good product portfolio. We have to penetrate this product portfolio in the SME market. Also cloud security remains important, but also an omnichannel approach is important. On the B2B transformation, we are on track. So we have there a program and to make the B2B business more efficient because we have always also price erosions in it. So we have to work on the efficiency side. We are underway and then this program is on track. Some remarks to our figures, service revenue figures, in the B2B market. On the left side, you can see that we are able to defend our strong margin position in the B2B market. The revenue-generating units in the B2B business are stable. We have 2.5 million revenue-generating units, stable, but we have high competition in this market. And this leads us actually to erosion of the service revenue, which you can see on the right side of the chart. So we had 6% erosion in the service revenue, business. And we have an ARPU of CHF 33 in the mobile business, but we have a lot of also strengths in it where we can differentiate ourselves and that's the reason why we are able to achieve our market share plus/minus stable in the B2B market. With new technologies like 5G campus networks, IoT solutions, I'm convinced also in combination with our IT capabilities that we are able to get a strong position, and we see there further potentials. 5G. Here what could be such potentials? This campus networks Industry 4.0 was a buzzword. There we see opportunities with mobile private networks. This will not explode, but this will be a project business case by case, and I'm convinced in 5 years we will have here a much bigger business. IoT is growing. We are the leading IoT provider for these smaller value-added resellers or value-added companies. It's a low-margin or low-ARPU business but a high-volume business. On IT. On the bottom of the right side, you can see where we are in. What are the Swisscom initiatives for it? I already mentioned them. The most important is cloud security and then these SME ICT offers. End-to-end solutions are important in the B2B market because it differentiate ourselves. This strategy is working. That's why we are able to defend also our high market share in this B2B market. And now I would like to come to the end. You see the proposition in the SME market; two, what we are doing; and then service. That's important to say in the B2B market. Not only products and network is important. Extremely important is the customer service, and there we are certainly strong. We have high capabilities to serve our B2B customers. And that's an asset which you can't actually copy in a very short term, so this makes us also resilient to competition. On operational excellence, I already mentioned it. It's important. We are committed to do it. On this slide, you see our solid track record, the savings, the achievements and also our ambition for the next years. So we are convinced that we can deliver cost reductions in the region of CHF 100 million also in the next years. Here you see how we will do it. It's a combination of different elements on the network side, on operational excellence but also on the way how we collaborate. Agile, collaborative approaches can also save costs. Good. This was a bit then the introduction. Now I would like to hand over to Alberto. Alberto, please.
Alberto Calcagno: Thank you, Urs. And good afternoon also from my side. I will go directly to the next slide, please. Basically here you see our achievement in 2020. 2020 has been clearly an exceptional year. Also Italy has been impacted in a very severe, I will say, way from COVID, but I will say that, from what concerns Fastweb, we were able to manage and transform an exceptional year into a normal year. We achieved all our guidance. We have been able to grow across all segments, from consumer to enterprise and to wholesale. Especially in enterprise, we are continuously leading over the market with a market share that has reached approximately 34%. And everywhere all across markets, we have the best NPS in our territory. We have quite a unique, if not the unique, let's say, case where we continue to growth in a -- to grow, sorry, in a very challenging market. With the fourth quarter, we achieved [30] quarters of consecutive growth. And we are the only one, at least in the last 5 years, in Italy to have achieved such growth, but I bet also it could be the same if we expand, enlarge the scope of the analysis. Vis-à-vis our ambitions in infrastructure, our 5G FWA rollout is fully on track with approximately 200 sites activated, same thing for our 5G mobile rollout with approximately 700 active sites. And also, with FiberCop, Flash Fiber is finalized in the last pieces of the network. And in 2021, FiberCop will take up with the operation. On the other main objective, which is to become an infrastructure OTT, over the top, we have completely merged the cloud company Cutaway that we have been acquiring in 2020. Also we have launched the 5G fully digital FWA services. And also we have accomplished the purchase of 70% of 7Layers, which is the second company that we acquired specialized in security. If we move to the next page, please. And if we transform such, let's say, market KPIs into financial and quantitative, I will say, KPIs, we can see that overall the broadband performance is quite strong. So plus 4% year-on-year. Clearly, we are much more interested in the ultra broadband, where the growth has been significantly higher. Today, roughly -- almost 75% of our customer base relies already in ultra broadband technology. And also our mobile performance is -- has been continuously growing, and we achieved a 12% growth year-on-year with a fixed mobile convergent penetration on our customer base that is around 34%. That was the consumer, but also when it comes to enterprise and wholesale, we are keeping a strong momentum. On enterprise, we have grown our revenues by 5%. Also we have an NPS that is very, very high, almost 80%; and has grown over 15 percentage points over the year. And we are keeping in acquiring new contracts as it's happening since a lot of years. In wholesale, also this is becoming a very strong engine for our growth. We have been able to grow our ultra broadband lines that we provide through wholesale contracts by 35%. We have also been able to doubling the revenues basically generated by this ultra broadband wholesale business. Please, if we go to the next slide; if we look also financials, I think, that are following the good momentum into -- of the operations, revenues growth by 4% in every single segment, so the wholesale, enterprise and consumer. If I look at just the fourth quarter result, you can see there is always, let's say, a minus in the wholesale segment, but that's specifically to do with the dynamic of the BTS network rollout in the fiber backhauling. And back in the fourth year of 2019, there was a strong BTS rollout. So it's, I would say, simply a dynamic. What is important, that in the year we have been able to grow. As far as it concern EBITDA, also here we fully achieved our guidance with a 5% overall growth that is coming from every segment. Also I'll say that in the free cash flow proxy KPI we have been able to grow nicely and to post almost a EUR 50 million increase year-over-year at operating free cash flow proxy. If we move to next slide, please. This is how -- our page on how we see 2021 and clearly beyond. We have 4 objectives. The first one is to be and to offer the best performance everywhere, so to be the best network everywhere. We will clearly concentrate not only on our historical, let's say, fiber network, but also we will leverage our new 5G FWA network, the FiberCop venture and also our 5G mobile. And when it comes for the enterprise, clearly there we have a strong opportunity because we will expand our ability to, let's say, attack or intercept the share of wallet of our established customer base. And so there will be possibilities to further grow and accelerate actually the growth in this segment. And also for the wholesale business. As we said, 2020 has been a very strong year in growth, especially in the ultra broadband wholesale business. We believe that this growth will continue and actually accelerate also in 2021 and the following years. As for the consumer, finishing, the fourth point, we do expect also to have the similar positive impact of having the best network. And clearly also here in the consumer we are more than confident that we will be able to offer the best customer experience here in Italy to further increase the gap between our NPS and the NPS of all the other competitors. Now if we move to the next slide, please, I'll do a deep dive for each of the 4 pillar. At Page 48, you can see our ambition and how we intend to deliver the largest ultra broadband footprint network in Italy. You know already our FTTH, let's say, ambitions, which is the combinations of our network and the FiberCop network, but then you also see that for us will be extremely important the new rollout of 5G FWA, with almost 4 million coverage already in 2021 and then the development of the following years to reach 12 million in 2024 which represent the 100% of the gray areas and the 50% of the white areas. Also 5G mobile will be extremely important for us. We have a long-term ambition of a coverage of 90%, but already in 2021, our coverage, we will step up actively, reaching 22%. What is important, that is to underline that we'll be the only one in Italy, the only operator, that cover 100% of black areas, 100% of gray areas and 50% of white areas. We will do all these projects within our CapEx envelope that is, as usual, in the region of EUR 600 million, clearly with -- or in the next years, with a more, let's say, portion that will be devoted and allocated to FWA and 5G mobile. If you go to next slide, please. Here you can see the -- our NeXXt Generation 2025 project, which will be a key differentiating factor in our B2C. We want to deliver to our customer base and to prospect clients the best of the service experience. So we will have -- we will attack the high-density urban areas, as we said, with our offers in FTTH, but we will have a killer application in the gray and the white areas with ultra FWA because this is a technology that has definitely fiber-like performances and allows us to have a very strong technological and competitive advantage vis-à-vis all the other competitor. Please. We can go to next page. As you can see, 2021 will be extremely rich in terms of product road map for the NeXXt mobile offer. So the 5G: We have launched already 5G, clearly depending on our coverage. We now are covering 4 major city, including clearly Milan and Roma, but we will progressively expand the coverage nationwide. On the fiber to the home footprint, we have more than double, expanded our performances because now we are the only provider to offer 2.5 gigabits. Basically we move from the concept of 1 giga per family to the concept of 1 giga per person. It's already available in 4 million households in the -- I will say, in the 30 main cities of Italy, but also in this case we will expand progressively this product. Last but not least, the FWA product. As I said, this for us is something unique because in the gray, in the white areas the average performance of the existing technology is quite poor. So in a range of probably 30 to 40 megabits. Here we will be able to offer or we are already able to offer, let's say, 1 giga offer. We just started. So we need to have a quite established customer base in order to have solid data, but today the average of the customers that are using this service is around 600 megabits. So it's another order of magnitude. We have launched the first 50 cities. We are targeting 500 cities by the end of 2021, and these cities will become 2,000 by the end of 2024. This service is fully digital. So basically it's really one-click services because we are aiming at again an over-the-top type of experience. So it's not -- so one-click, let's say, onboard process, but the most important thing is that we are able today to deliver in 1 day the activation, which is something that nobody else can assure on the wireline space. I will say that, all in all, we are keeping our strategy of fully transparency and to be the champions of the customer so that we -- there are no extra charges, no hidden costs, no migration costs, no contract obligation. And also this is extremely important to, let's say, sustain our superior Net Promoter Score and our reputation and trust vis-à-vis the other competitor. If we can move to the next slide, please, here just to remind our strong position in -- on the B2B market. Remember that overall today we have a market share of 34%. I'm talking about the big enterprises in Italy. If we just consider the public administration, this market share moves from 34% to 43%. We have the highest Net Promoter Score reputation in the market. And we have the best team, over 500 professional, that are uniquely and exclusively dedicated to this segment. The good thing is that we -- in 2020, we have now other core competencies, as we bought 2 of the most interesting companies in the Italian space. One was Cutaway that is and has -- let's say, has been specialized in the cloud services, now is fully merged with Fastweb. And also we acquired 70% of 7Layers, which is a leader in Italy on the security, cybersecurity. This for us has a unique strategic value because it gives us the possibility to increase our share of wallet in the customer, let's say, needs of services, as cloud and security will become more and more important in the future. Today, we have already our order book that approximately are coming 50% from value-added services, but we expect in the midterm this 50% to grow up to 70%. Finally, there is a huge opportunity for us in the enterprise space, which is represented by the mobile market. Today, this market accounts for roughly EUR 1 billion, and these divided by just 2 operators. With 5G, we will launch the services by 2021. And given the reputation and given the strong customer base that we have on the fixed, we do believe that we will be able to rapidly gain market share also on this specific market. And in the long term, we believe that 10% market share is achievable. If you move to the next slide, please, we now consider the wholesale business. Today, we are already the second wholesale operator in Italy, with more than EUR 260 million revenues, 15% market share, with more than 10,000 BTS already fiber backhauled. Just 2,000 was -- happened in 2020. We can offer can -- we can be a really one-stop-shop strategy for every, let's say, newcomer, new entrant in the wireline space, as we can provide not only our network but we can combine and bundle also the network of others' wholesale provider. In the long term, we will continue to exploit these ultra broadband volume business opportunity and together with a continuous scale-up of the backhauling business. We do believe also that we will be able to reach new -- or new -- or 2,000 new BTS in 2021. And also we are already targeting and beginning from 2022 also to be an MVNO wholesale player in the Italian market. It will -- we will need this year to prepare ourselves in order to be fully operational, but we are already targeting and put this new opportunity in the radar screen even if it will be from 2022 onwards. If we move to the next slide, please. And so we -- I try to summarize into wrap-up and guidance. I think that we are fully on track to deploy and to be the largest, let's say, ultra broadband player in Italy in terms of network and also in terms of wholesale opportunity. And clearly, we want to exploit such superiority of our network not only in the wholesale space but clearly also in the consumer through our retail business unit and also in the B2B. Nevertheless, in B2B we do believe that in cloud, security and also in the 5G mobile there will be a strong, strong, strong case. We are -- we have prepared ourselves to be fully operational in these segments starting from 2021. We have achieved our strategy. Now it's just a matter of execute, but we are really confident in delivering growth in this space. We will continue to boost the wholesale business, as we believe there is a strong opportunity for that. And also we believe that, with then effort that is becoming stronger and stronger and deeper and deeper every year, we will be in a position to defend our leadership and actually to accelerate and strengthen our leadership in the wireline consumer business. If I put together all these, let's say, features into some financial guidance: For 2021, we are confident to reach a guidance that foresees a 5% growth in revenues and 5% EBITDA -- growth in the EBITDA, with a CapEx envelope which will remain, as I said before, stable. That's all for my part, and I leave the floor now to Mario. Thank you.
Mario Rossi: [Indiscernible] my side. And we can present a set of numbers which are in all aspects in line with our guidance and our expectations. On the revenue side. The underlying revenue declined by 2.3%, and I'll give you some explanations on this busy slide. On the service revenue decline, I will come back on the next slide. On point number four, the solution business in B2B, we saw a flattish development of the solution business. That amounts of roughly CHF 1.06 billion. We saw a nice growth in cloud data services and UCC and security, which was overcompensated by lower hardware revenues. On point five, wholesale, we realized a quite strong Q4. We saw growth from MVNO services, broadband connectivity services and infrastructure. On six, this nice and steady growth from Fastweb. Alberto already explained the decline of 5 million in Q4, coming from extraordinary high revenues in 2019. Consumer revenues grew in Q4 by 1.4%, and the enterprise segment by 4.7%. The segment also showed minus 57 million. There are 2 main reasons. In 2019, we realized the large project, construction project, in cablex of around 40 million, very low margin. And secondly, we saw the phaseout of the terrestrial video broadcasting Swisscom Broadcast of about CHF 10 million. That was a high-margin business. Some explanation to the service revenue development in Switzerland, which is overall in line with prior year but with different dynamics. The blue one shows B2C. On the right-hand side, you see the different compositions: fixed voice line loss and convergence, as expected, lower than in the prior year, but the number of change in revenue -- or the impact of change in RGU mix increased by CHF 66 million to CHF 91 million. 2/3 of this impact comes from wireless. There we see the growth, as explained by Urs, of the second and third brand, which creates an ARPU dilution. We see ARPU dilution through promotions and quite a lot of right-gradings in our customer base. 1/3 comes from the wireline business. CHF 10 million is impacted -- or is the impact of a lower customer base. And then we had a price increase in 2019, which amounted to CHF 11 million. The roaming impact is CHF 28 million. Thereof, COVID creates -- COVID impact is CHF 18 million. In B2B, we see an overall decline -- or a lower impact from price pressure of CHF 120 million. 1/3 comes from the corporate segment, and 2/3 from the mid-market segment. The impact is CHF 78 million lower than in prior year, but we expect price pressure to remain high also in '21. On the roaming, I would say about 2/3 of this CHF 36 million are impacted by COVID-19. On the OpEx, I would say overall we have met our costs saving targets in 2020. Goods and services are CHF 110 million lower than prior year. And main elements of the Q4 development are the following: In B2C and B2B, we had lower hardware sales of approximately CHF 35 million. Then we had lower handset repair costs and less stock adjustments of about CHF 10 million, and then we had lower direct costs because of closed cinemas and postponed sport events. On indirect costs, we were able to reduce the cost base by net 125 million -- CHF 129 million, which is 4.1% of the total indirect cost base. On workforce, you see an increase of CHF 13 million in Q4. 2 main reason. Q4, we had higher capacity costs because of the launch of blue which caused extra workload in our call centers. And the second point, in 2019, we had a bonus-relevant achievement of below 100% which resulted in lower accruals. On the other indirect costs, point 5, we saw a full year saving of CHF 102 million. In Q4, we had relatively high savings because of some seasonal effects in the prior year. Q4 2019 was impacted by higher marketing expenses, approximately CHF 10 million; and higher costs in B2B for customer projects, roughly CHF 25 million. Maybe a remark on the COVID impact on indirect costs, we estimate the impact of about CHF 15 million mainly coming from reduced travel expenses. Group EBITDA. I think we heard all the explanations from Urs with the CHF 19 million decline in Switzerland and the nice 5% growth of Fastweb on EBITDA level. Again, the COVID impact, overall the COVID impact on EBITDA is more or less neutral, maybe minus CHF 5 million. Another way to look at the EBITDA dynamic in Switzerland. Service revenue, minus CHF 285 million. And the indirect cost savings, we already discussed. Then on device decoupling, the positive effects from IFRS 15 on device decoupling amounted to CHF 66 million. This reconciliation item started in Q2 2019 when we introduced the new product portfolio with no handset subsidies anymore. This effect will stop in '21, where we expect a positive impact of around CHF 30 million to CHF 40 million. On subscriber acquisition costs, Q4 was CHF 23 million above prior year. We -- a bit more than 150,000 TV boxes have been replaces with the newest generation that helps increase customer satisfaction. And the retention value of mobile contracts were higher than in Q3, quite a strong Q4 in retention. It was at a similar level like in prior year Q4. On wholesale, I already explained. And other, that's an position of all the elements. I think the main elements are lower outpayments for roaming because we had lower roaming revenues; lower content costs due to late start of football league, only partly compensated in Q4. Below the EBITDA, there are no special remarks, except for taxes. Net income with CHF 1.53 billion is lower than prior year because 2019 was positively impacted by CHF 269 million as a result of the tax reform in 2019. We had a similar effect in 2020 at a lower level of roughly CHF 60 million. Both these impacts are noncash items. Long term, we expect a tax rate for the Swisscom Group of 19%. On CapEx. So without the prior year spectrum expenses of CHF 196 million, CapEx are almost unchanged, a little bit up in Switzerland and slightly down in Italy. The main increases in Switzerland are coming from the fiber rollout CHF 25 million higher than prior year, amounting to CHF 519 million; and some higher CapEx in the wireless network, 10% more than in 2019. As Alberto mentioned, reported CapEx in local currency at Fastweb decreased slightly. Free cash flow stands at CHF 1.7 billion. Excluding spectrum CapEx, we can report an increase of CHF 165 million. There are 2 elements to discuss. We have a positive net working capital development in 2020 of CHF 140 million. There's a decrease of receivables of CHF 60 million, and we had an advanced payment of some corporate customers of CHF 62 million. And tax payments were lowered due to time lags in the final test -- tax assessments. That brings me to the net debt situation. Net debt at year-end stands at CHF 8.2 billion. CHF 579 million lower than prior year. That leads to a leverage of 1.9x reported. You see on the right-hand side all the KPIs based on our A rating. We have a very attractive funding costs of only 0.9% per year. And 88% of our debt are fixed. That brings me to the guidance '21 and some explanations to this guidance. So we expect revenue flat at CHF 11.1 billion. In Switzerland, we expect CHF 8.5 billion, which is weaker than in 2020 due to service revenue pressure we expect that will be in the same magnitude as in 2020 between CHF 250 million and CHF 300 million. On the other side, we will see positive contributions from solutions in the B2B segment and, of course, from Fastweb a 5% top line growth. The EBITDA guidance for '21 stands at around CHF 4.3 billion, slightly lower compared to 2020. We see the following year-over-year effects. Switzerland is around CHF 3.4 billion EBITDA. There we have the impact of the service revenue decline of CHF 250 million to CHF 300 million; a negative impact on the MVNO business of CHF 15 million to CHF 20 million due to the merger Sunrise UPC; indirect cost savings of around CHF 300 million; the before-mentioned decoupling effect, positive, of CHF 30 million to CHF 40 million; and then a margin improvement on the solution business in the B2B segment. CapEx outlook is at around CHF 2.3 billion for the group, of which Switzerland a bit more than CHF 1.6 billion. We expect the CapEx slightly higher because of the FTTH rollout, and Fastweb steady at EUR 0.6 billion. And this set of guidance allows to forecast an unchanged dividend of CHF 22 per share upon meeting our financial targets in '21. With that, I hand over to Urs, our CEO, for his final remarks.
Urs Schaeppi: So, thank you very much, Mario, for the explanation of these figures. And I will also now come to thank you, Mario. You are still our CEO. You made an excellent job. And if I would have to summarize it, I would say solid as a rock. And for this, I have a small gift. I will handle it over to you later. And on the bottom, you can see the summary which I will explain now so that you actually remember us when you are at home, when you are doing other things. I also or we know also that you are a big gamer, that you like to do gaming. And if you are not in the gaming mode, you can actually look to this "solid as a rock" speech. Mario was for 8 year CFO of Swisscom. He made 32 financial results presentations, so he is quite used to it. He had more than 1,000 investor meetings. And I think also another nice figure is he distributed 9.1 billion dividend, 9.1 billion. And he also cemented our rating, A rating. So he was our financial manager. And the good shape of Swisscom, for this he has a very important role. And we would like to thank you very much for your contribution. And I wish you all the best for the future. Switzerland is a small country, so we will see -- certainly in other areas, maybe on the bike or on skiing, but a big thank you to you, Mario, for your big contribution to Swisscom.
Mario Rossi: Thank you, Urs. And thank you for your trust. It was a pleasure working with you.
Urs Schaeppi: Thank you too. And that's solid as a rock, Mario. Now, I would like to welcome Eugen. He will be our new CFO. He will start on the 1st of March. He has a 25 years experience in management. He is working for Swisscom since 2012, in different roles. The last role was the responsibility for M&A and treasury, so he knows Swisscom very well. And I'm happy to work with you, Eugen, and looking forward to see you soon here. Thank you very much, Eugen, that you are motivated to do this role. Now my really last and final remark: What can you expect from us? So we deliver our leading position in Switzerland. That means we want to outperform on the network side, on the sales side and service side, operationally being the leader. Second point is we are strongly committed to operational excellence. That's important. And third, that we are executing on our growth ambitions. The main of them are in the area of IT. And the fourth pillar is certainly Fastweb, where Alberto and his team is delivering growth, as Alberto explained before. This leads us to a good dividend to be a predictable shareholder remuneration. So that's a bit our commitment. And now I would like -- hand over to Louis for the Q&A. Louis?
A - Louis Schmid: Now, it's time for the Q&A session. As previously indicated, Dirk Wierzbitzki and Urs Lehner are also joining and supporting in case of any specific question on the Swiss business. Some remarks to people being registered for the Q&A and/or raising questions. Thank you. Now, let's open the Q&A session for the second part of today's meeting, with the first question coming from Polo Tang, UBS.
Polo Tang: It's Polo Tang at UBS. I just have 3 different questions. Actually, before I start, I would like to say best wishes to Mario Rossi on his retirement. In terms of the 3 questions I had. First one is just really about trying to understand what you're assuming in terms of COVID-19 impacts as you look forward into 2021 in terms of what are you assuming in terms of your guidance? For example, what are you budgeting in terms of any recovery, if at all, in terms of roaming? And in particular, what are you assuming in terms of any potential impact in terms of SME revenues? Are you factoring in any significant step-up in terms of bankruptcies, foreclosures? So that's the first one in terms of COVID-19. The second question is really just about the competitive landscape. In terms of Sunrise, have you seen any change in their behavior since the merger with UPC? And then also in terms of Salt, we've obviously got this new Gigabox fixed wireless access product. So how has that changed competitive dynamics? And what's your sense in terms of the take-up? And my third question is really just in terms of -- for Alberto, in terms of the Italian mobile market. So Iliad seems to be attempting to raise prices in the low end of the market. But what is Alberto's sense in terms of the competitive dynamics here? Are we past the worst?
Louis Schmid: Thank you very much, Polo. I think the first question on guidance and consideration of the COVID is for Mario. And if Urs Lehner also wants something because of the SME then fine. Second one is for Urs. And the third one, as you, Polo, already indicated for Alberto.
Mario Rossi: Okay. I take the first one on the guidance and the COVID-19 impact. In 2019, I would say, on the roaming business, we had an impact in 2 quarters -- during 2 quarters, and our budget has the same assumption that we will see low travel intensity in Q1 and Q2 and then a slight recovery Q3 and 4. In terms of bankruptcies, we monitor that on a weekly basis, the inflow on payments, both in Italy and in Switzerland. And so far, there was no impact. And so we have not included any impact from bankruptcies and so on in the guidance for '21. Maybe one remark, I think I was -- there was some misunderstanding when I explained the guidance. So the reduction of the indirect costs are approximately CHF 100 million. I think some people understood CHF 300 million. It's CHF 100 million.
Urs Schaeppi: Good. Then on the second question on competition in Switzerland. Have the competitive dynamic changed? I don't see a change in this dynamic in Switzerland. We have still a very promotion-oriented market. Sunrise and UPC are behaving in a separate way. Both of them are doing, let's say, aggressive promotions. And I would say even -- or Sunrise is even the more -- is more aggressive on the market or even a bit more than in Q3 or Q4. So no change on this. On Salt, the launch of this fixed wireless access product, I think we can't compare Italy, what Alberto explained, and Switzerland. In Switzerland, the landscape is another one. We have very high ultra-broadband penetration with strong performing networks, also in rural areas. So the advantage of a fixed wireless network in Switzerland is smaller than in Italy, where you have really gray areas or even white areas. So it will be interesting what is happening with the take-up of this fixed wireless access product in Switzerland. I don't think that this will be a game changer.
Alberto Calcagno: Okay. Then if I take the third question, maybe also a quick comment on dynamics on bad debt in Italy 2020. We didn't experience any impact from COVID. So also in 2021, we do expect that we'll have the same neutrality, I would say. For the question on mobile, yes, there are -- it seems that also Iliad is increasing prices. The outlook there, I think, is quite good, in general, for the market, specifically for us, which means that we -- with our offer, we will be even more competitive in the future, and we have -- we will have even more opportunities to grow. But overall, we do share the same view that in the mobile market in the future there will be more stability.
Louis Schmid: Thank you very much. Next question comes from Georgios, Citi.
Georgios Ierodiaconou: I've got a couple. The first one is around fiber regulation. You had some news about a month ago that the competition authority wanted to make some changes. Do you mind just running us through what the debate is and maybe the timing of key decisions that could be made on this? My second question is on Italy. Alberto, when you are going through the wholesale business, as you mentioned, as you are a key partner for anyone who wants to enter as a wireline provider. Obviously, we all know one that may be launching soon. So if you could kind of provide your high level thinking between the wholesale opportunity versus a return on risk from that. And then finally, I wanted to also thank Mario for all the help he's provided us over the years. I think he's been a great professional. And I just wanted to mention, I don't think there's been many CFOs in the last 8 years in telcos that can move on and say they've never cut a dividend or issued a CapEx warning. So congratulations on that record.
Mario Rossi: Thanks, Georgios. [Foreign Language]
Louis Schmid: Thank you, Georgios. I think -- and the third point was not a question. That was more a complement. So the first question on fiber regulation is for Urs. And then the second question is for Alberto.
Urs Schaeppi: Okay. This fiber regulation from Competition Commission -- they ask for this layer one product from the central office. And they also made pre -- they also ask for not for precondition measures, so that means that we are not able to sell products in the new footprint up to now, up to now. And now that we claimed against it. And I think in the next weeks, we will get a decision on it. That means if we have a relief there, we can continue to sell in the new footprint, only the new -- it only hurts the new footprint -- is this request from the commission -- from the Competition Commission. So in the next weeks, I hope that we will have clarity there. I hope that we can continue to sell in the new footprint. And then it will take time. It's hard to say. They will investigate on this competition play. It's hard to say. I think we have now to wait what the court will decide on these precautionary measures. And this will be in the next weeks. The impact -- maybe the impact today is -- it's very limited on the business as it is today because we are rolling -- it's only on the new footprint where we have this obligation.
Alberto Calcagno: Okay. Then I take the second question. Actually, when I was talking about wholesale and newcomers, we didn't have in mind a specific name. Iliad is clearly one candidate, but also for us, Sky will be a very important client. We just announced a couple of weeks ago our agreement. Thanks to our network, Sky will be able to cover 1,500 cities in Italy. So we have substantially increased the footprint. I think -- but for us, at the end of the day, yes, there could be some impact on our retail business. But at the end of the day, they will be offset through the wholesale margins. So it's -- at the end of the day is not a game changer. Iliad clearly could be an opportunity. We will see in the future. I think that we are already very well-kept in the wireline. We will continue to be the leader in the fourth quarter. We have been at least a very -- we had a very good performances. We do believe that also we will continue to have performances in the future. But yes, the wholesale business is a good offsetter in case. Thanks.
Louis Schmid: Thank you, Alberto. Next question comes from Jakob Bluestone.
Jakob Bluestone: If I can also echo the comments from the other -- from the previous -- about Mario, who's been a terrific CFO. So many thanks for all your patience and time over the years. I had a couple of questions for Mario, and one for Urs. Firstly, you mentioned earlier that you've had quite high uptake of second and third brands on the postpaid mobile side. I think it was about 18% of the base. Very little uptake on the wireline side, where I think it was only 4%, where on your no-frills brands in wireline, I was hoping you could maybe expand a little bit. Do you think that's something that will change? Why is it so low? I guess, most importantly, I mean, we've seen a significant amount of dilution on the mobile from the migration to these second and third brands. Do you see a risk that we see a similar headwind on your fixed line ARPU? And then 2 other questions, slightly shorter. Just on the CapEx side, your Fiber to the Home coverage went from 30% to 32%. You spent about EUR 0.5 billion on -- CHF 0.5 billion on CapEx. Your guidance for 2021 suggests quite a big step-up in the pace of deployment. So I think it's going -- increasing by about 7 percentage points to 39. But yet, there's only a very modest increase in CapEx. So can you maybe just help us understand what are some of the offsets? So will you be spending less on given what it looks like a fairly significant acceleration in FTTH deployment? And then just finally, just on free cash flow. Maybe it's a little bit unfair asking about future items on free cash flow. But as you mentioned, you had very strong net working capital and you also had very low tax. Can you maybe just give a little bit of guidance on those items for 2021, just given how big the boost to free cash flow from those 2 things were?
Louis Schmid: Thank you, Jakob. I think the first question on second and third brand is for Urs or alternatively Dirk. I mean, up to you. Second question on CapEx, probably Mario. And the last question definitely for Mario.
Urs Schaeppi: I would say, Dirk take the first one on this second and third brand penetration of broadband.
Dirk Wierzbitzki: Yes. Certainly, I can do that. I really believe, let's say, the reason is that -- I mean I should say that we entered the market a little bit later there compared to mobile because you were making the comparison towards mobile. We were first this mobile and only later this broadband there. And we are pursuing the strategy that we call defend and attack. I mean, obviously, we want to defend the value on the own brand offer, yet participate in the market also, particularly in the price-sensitive segments with an equal share. And so we might see certain developments that we have seen in mobile also kicking in on the broadband side, certainly. We will review our pricing and promotion strategies there to gain a fair traction within the price-sensitive market.
Mario Rossi: And Jakob, on the CapEx. So you must be aware that the FTTS rollout was going on in 2020 and will also go on in '21, but in '21 at a lower level. And so part of the FTTS CapEx will be replaced by FTTH CapEx. That's the reason why despite the higher penetration of FTTH, the CapEx don't increase more. Then on the free cash flow, on the net working capital in the future, you can always have a swing of CHF 50 million because that's just a cash in. You cannot control in the last months. So there is no -- in the future, there is no structural positive or negative impact on free cash flow. That's just seasonal fluctuations. And yes, we had relatively low tax payments in 2020. I would assume cash out for taxes in the magnitude of CHF 350 million, CHF 3-5-0 million per year at this net income level.
Louis Schmid: Thank you. Next question comes from Ulrich Rathe, Jefferies.
Ulrich Rathe: I have three questions, please. The first one is on the wholesale revenues in Switzerland. Obviously, you are about to lose wholesale revenues there from -- well, from Sunrise and presumably also UPC. But what is baked into there for 2021? And how does that phase out? The second question is on the -- sort of the overall net effect of the cost cuts versus the revenues. You are saying somewhere in the annual report that you expect the revenue decline in '21 not to be fully offset by cost cuts and an EBITDA drag for that reason in 2021. That -- obviously, there was a slight effect of that thought also in 2020, but a very small one, like CHF 19 million or so. Is it a similar dynamic in terms of the -- what you expect for the 2 trends separately? Or is there a bigger shift in 2021 in your plans currently? And my last question would be on the fourth quarter. There was an EBITDA boost from the indirect cost outside of workforce cost, really trending very differently in the fourth quarter than the third quarter. And the one item, Mario, that you mentioned there in your presentation was the bonus payment last year. So does this mean that -- this was really everything, right? Does this mean the fourth quarter 2020, the nonworkforce cost, indirect cost, that was a normal quarter for next year? Or were there any supportive items, unusual items in the fourth quarter 2020 that produced this big, big trend shift there?
Louis Schmid: Thank you, Ulrich. I think the first question is either for Urs, financial impact Mario. Thereafter net cost, Mario, and the last one, probably, again, Mario.
Urs Schaeppi: So I will take the first one and then Mario can take the 2 other ones. Otherwise, he's too busy. The first question on the wholesale impact, which is affected by this merged Sunrise UPC. So what is clear, we will lose the MVNO, the mobile revenues from UPC. I think this will be in the first half of this year or middle of this year. So the impact will be CHF 15 million to CHF 20 million from this mobile revenue side, MVNO contract. Then we will lose some broadband business, wholesale business from Sunrise. And it will be in the region of CHF 20 million this year. That's a bit our forecast. And then next year, CHF 30 million -- maybe CHF 30 million. But then you have to take in account that they will also remain as a wholesale customer. Broadband, in areas where they don't have a network, I think they will rely on our network also in the future. But our overall impact in this year may be in the region of CHF 40 million -- CHF 30 million to CHF 40 million.
Mario Rossi: Yes. We mentioned in the guidance that the negative MVNO impact, which will come short-term, is CHF 15 million to CHF 20 million. That's what Urs mentioned in the guidance, '21. On the EBITDA guidance for -- and that's not Swisscom Switzerland, but Swisscom without Fastweb. So we mentioned that the guidance will be CHF 3.4 billion. That compares to CHF 3.45 billion in 2020 reported. And you're right. We have this service revenue decline of around CHF 250 million to CHF 300 million. Part of it will be compensated by the cost savings of CHF 100 million. Then we have additional margin -- contribution margin for the B2B -- from the B2B segment. And -- but the overall -- so we will see a decline or we expect a decline of EBITDA in '21 in the Swiss business, if you do this math. And on the indirect costs of -- yes, in Q4, I mentioned 2 elements, 2 seasonal effects in 2019. That's the higher marketing expenses last year of CHF 10 million and the higher costs for B2B customer projects. And I would say these were the only extraordinary items in Q4. But again, as CFO, I don't look at quote. For me, it's important, is it recurring or not? And if I look at the last 4 years, that's really the proof that we are able to reduce the cost base. And at the last 4 years, we are able to reduce the indirect costs by over CHF 400 million. And you can do the calculations in 2020. They were net CHF 129 million. So we have always some seasonality in the quarter.
Ulrich Rathe: Just a follow-up, just to clarify 1 question there. So in the fourth quarter of 2020, there was nothing that you would consider extra or out of the usual?
Mario Rossi: No.
Louis Schmid: Thank you. Next question is coming from Fred Boulan, Bank of America.
Fred Boulan: Congratulations from my side. A couple of questions, please. The first one just to -- sorry to come back on Q4. So I understood all the comments related to 2019. Just interested in the bridge you show Slide 58 around the plus CHF 40 million impact you have in wholesale, IT & network and maybe you spend a bit of time on this. And where you see that going? Secondly, a follow-up on the ARPU question and the pricing question. So your postpaid ARPU trends remain pretty difficult, were down about 9% in Q4 from CHF 56 last year to CHF 51. Can you explain a little bit what is in there is COVID? Is this decoupling? Is it underlying mix? And where do you see that trend going in the coming years? In particular, is there another option to charge for higher speed, higher 5G speeds in your key offers? What kind of traction are you seeing on this? And then lastly, if you can give us an update on the difficulties you were experiencing initially on the 5G rollout, the pushbacks against the deployment in Switzerland.
Louis Schmid: Thank you, Fred, for your questions. I think the first question on the wholesale Page number 58 goes to Mario. Second question on ARPU dynamics and trend might be a question for Dirk. Or alternatively, if Urs can add. And then the last question, 5G rollout and complexity, for Urs.
Mario Rossi: On the wholesale on Page 58, in this segment, wholesale is not the only -- the wholesale business, but also IT and network. And there is the EBITDA impact. So this point 3 on Page 58 includes the higher revenue -- the impact of the higher revenue we had in wholesale in Q4, I mentioned in my presentation, the CHF 30 million coming from broadband connectivity services and some high revenue on infrastructure services. And then in this CHF 40 million are also included savings, cost reductions in the network and IT division. They are mainly coming from the IT elements. So you have both impact coming from revenue and coming from costs.
Louis Schmid: Thank you, Mario. And perhaps next question, postpaid volume development, Dirk?
Dirk Wierzbitzki: I think that there's several sources to the ARPU trends that you see. I mean, obviously, there's -- particularly for last year, some COVID-based stuff in that, particularly on the international roaming side. We talked about it. There is ARPU dilution from promotional activities on our own brand, where, increasingly, you see discounts for the first 6 to 12 months of whatever, half rate tariffs or so. And then there is the shift from the first brand, so the Swisscom brand to second and third brand and we reflected upon that. We see subsequent consequences of lower ARPUs. And then there's a little bit of, let's say, RGU mix in the base where certain movements from, let's say, historical tariffs, I would call them. People optimize themselves for like newer channels and so forth. Although that I would dare to say is probably the smallest part. To your question, will the trend continue? Yes, we see a downwards trend. That's basically triggered by stiff competition there. You see that from second and third brands in the marketplace. You have like an anchor price of CHF 30, even a little bit less in the recent weeks for a national flat, so that is like flat voice and flat data. And we don't see any, let's say, relaxation on that. So clearly, the strategy remains to get the best value out from the own brands and then selectively aggressive, particularly on the second and third brands. But in the consequence, the -- a bit of the trends that you have been watching will probably continue.
Louis Schmid: Thank you, Dirk. And...
Urs Schaeppi: I need to add on it. A good chart to explain it is on Slide 56. Mario already showed it. I think that shows quite good dynamic. So the erosion on fixed voice, I think, this will be in a region where it is. Fixed mobile converged will maybe slightly going down because of penetration. RGU mix will remain or yes, this will remain. And droving that -- a bit of this is actually COVID-impacted. But in 2021, we will have still a rolling impact. In '22, I hope it will be away. So that shows a bit what Dirk explained. The major impact is through this RGU mix. Then on the second -- on the third question, 5G rollout. So yes, we are facing a kind of blockage. We are blocked on building out new antennas. That's a bit regionally. In some regions, we have much bigger programs than in other ones. And normally, if you go more on the French side, it's more difficult. In the German side, it's less difficult. And in the Italian side, it's becoming more difficult. So in the Romanic area, it's more difficult to roll out the networks than in the German areas. I think it has a lot to do with communication, with trust. We have a debate, which is driven by emotional minority in Switzerland. And that's why it is important that the government is also communicating and explaining that we have a more fact-oriented communication in Switzerland, and I think situation will become better in the second half of this year. It takes now some time. I hope that it will become better and that we can accelerate rolling out these networks. But it will stay difficult because you don't build an antenna without opposition. That will remain.
Louis Schmid: Thank you, Urs. Perhaps, Fred, to give you some idea. The CHF 4 decline year-over-year on ARPU, half of it, CHF 2, is RGU mix. CHF 1 is roaming. Thereof 2/3 is coming from COVID and CHF 1 is to give you an idea is fixed mobile convergence for the discount. And as everyone explained, convergence is coming down, but RGU mix is definitely remaining. Okay. Thank you very much. Next question comes from Simon Coles, Barclays.
Simon Coles: Sort of aggregating some of the questions you've had already. You talked about CHF 250 million to CHF 300 million service revenue impact in 2021. When you're saying RGU mix is probably similar in 2021 and FM convergence gets a bit smaller. Were you including the wholesale impacts from, say, Sunrise and UPC in that CHF 250 million, CHF 300 million number? Or is there something else we need to be aware because, presumably, fixed voice lines is pretty much disappearing and roaming is only 1 quarter, like you said? So could you clarify that? That would be great. And then just another question on smart homes. You obviously highlighted that we've had some good traction. Do you see that as sort of the next step after convergence? And is that a way that you think you can continue to increase average revenue per household, which is the metric, I think, we've talked about in the past?
Louis Schmid: Thank you, Simon. Second question about smart life, smart home is definitely for Dirk. And the first question, I think, is for Mario. So we start with smart home, smart living. Dirk?
Dirk Wierzbitzki: Yes. Look, the business now is mostly a, let's say, accessory or device business with the associated margins there as we don't yet have, let's say, any service package with the recurring monthly fee. We are looking into it. And particularly, that will also then be enriched with, let's say, for instance, in the security space, you can think of certain services that make customers pay a recurring fee for surveillance solutions and alarming solutions and these kind of things. We are looking into that. We have not yet made a decision. Right now, it's more let's say, offering that security and convenience into the customers' homes, actually a trend that has been enforced by COVID. People are more at home and looking how they kind of upgrade and pimp up their home for connectivity, but also for convenience and so on and so forth. So it's mostly right now like an accessory or device business with the associated margins there. And also then obviously, there is a benefit, as everybody knows. The more products and services a household has, even if not paid on top, the more -- let's say, the more loyal and less susceptible to competing offer is the customers. So it's really also about loyalty, customer happiness and a great service. And whether we can monetize it from a recurring monthly fee perspective, I think the future will show.
Mario Rossi: And on the service revenue side, so the decline of CHF 250 million to CHF 300 million, there is included our assumption that we'll see quite heavy promotions in the B2C segment. So that's clear. These promotions will be going on. That's also what we saw in January. We included some expected pressure in B2B, especially in the SME segment because there, we have high market shares and high ARPUs. And the CHF 15 million to CHF 20 million decline on -- because of the service revenue of the merger of Sunrise, UPC is not included in the service revenue. We guided separately for it. So the MVNO revenues, the wholesale revenue are not included in service revenue. And as we mentioned, we expect there an impact from the MVNO business because they can move the customers from our network to the ex-Sunrise network on fixed line. On broadband connectivity, we don't think that we'll see a material impact already in '21.
Simon Coles: Okay. So wholesales will include it. But if we think RGU mix is flat and price pressure in B2B is similar, like you've given in slide 56. You also said the other impacts are probably smaller. It sort of doesn't quite get to CHF 250 million. Or is that just rounding, and there's nothing around that?
Mario Rossi: No it's -- nobody has a crystal ball. Our assumption is CHF 250 million to CHF 300 million. We think that the promotion pressure will remain. We will have some pressure on the SME segment. There, we have high ARPUs. So we think that that's, let's say, a reasonable amount included in the guidance.
Louis Schmid: Thank you, Mario. Thank you, Simon. By the way, you don't have a crystal ball, but a crystal stone, meanwhile. Anyway, next question comes from Michael Bishop, Goldman Sachs.
Michael Bishop: Congratulations, Mario, from my side on your tenure, and I echo all of the sentiment so far. It's been really pleasure working with you. I've just got 1 question, which is around CapEx containment. And it's a slight follow-up. I think you touched on this earlier. But when we were here last year in person, I think you were basically saying, look, we're going to have to really sort of push in terms of the CapEx containment to achieve our Fiber to the Home targets in terms of the unitary cost or perhaps do some sharing to achieve that cost? And from your earlier comments, it sounds like you're not necessarily going to sign up to any cost-sharing agreements necessarily or if you do they'll be very local. So given you're reiterating the Swiss CapEx containment message, has the unit cost continue to come down? And is that related to the 20% saving, I think, you flagged on one of the slides in terms of this move towards point to multi-point? So I'm just trying to get what the big picture message is in terms of the change in message this year versus last year and what you've done.
Louis Schmid: Thank you very much, Michael. I think that question last year already came up and was answered by Mario.
Mario Rossi: You think, okay? As Urs mentioned, we are open to cooperations, but it's clear that will be not the big cooperations which we saw when we did the FTTH rollout in the big cities like Zurich, Geneva, Bern, Basel and so on. In this saving, there is part. We included some cooperations in our calculations. And then in addition, we have a lot of experience now with this FTTS rollout. And with the contracting, the construction companies in a general contracting way, and we want to use this experience also to reduce unitary CapEx in the FTTH rollout. But maybe, Urs, you have to add something?
Urs Schaeppi: Yes. No, it's exactly like you say. And if we are building on Fiber to the Street, we can also reduce costs because the feeder is already constructed. So we have only to do the drop and the in-house investment. So that's why the unitary costs are also coming down.
Louis Schmid: Thank you. All clear, Michael? Thank you. Next question comes from Luigi Minerva, HSBC.
Luigi Minerva: Yes. I start also with my best wishes to Mario, and many thanks for your great work over the years. So my first question is -- well, I have 3. The first 2 on Switzerland. The first is on the B2B competitive dynamics. So what do you expect with Sunrise, UPC arguably becoming more active in this segment? I think they have a clear ambition to become stronger in B2B. Second is on blue. And it's very interesting what you're doing with the over-the-top to be at. So if you can share maybe some KPIs on the take-up from the non-Swiss compliance? Is it working really? And then lastly, on Italy. I have a question on FiberCop. And I just wanted to understand from Alberto his expectations from FiberCop, whether the contributions that Fastweb will make to FiberCop are included in your CapEx guidance? And ultimately, if you think that FiberCop as a project can stand up as a stand-alone project, if there is no merger with Open Fiber.
Louis Schmid: Thank you very much, Luigi. I think the first question on B2B takes Urs Lehner. The second one on blue, Dirk. And the third one you, Luigi, already addressed to Alberto.
Urs Lehner: Yes. Within B2B, we definitely expect additional competition in the SME space, although it was already explained by Mario. And in the enterprise space and corporate business, I don't believe that the behavior in the market will change dramatically or fundamentally by the merger. We definitely are looking much more to the SME space. And we definitely also believe that with our integrated offerings on converged offerings on the telco side, but also in addition with the ICT services, covering full-service solutions, service solutions in the security and workplace space integrated with connectivity for our SME customers, we believe we have a strong proposition. But yes, fundamentally speaking, we have -- we are prepared for a battle within the SME space, which will keep on in the dynamics. That's what we expect from the merger in the B2B space.
Louis Schmid: Dirk, on blue?
Dirk Wierzbitzki: Yes. So blue basically is, let's say, the TV solution, which is Swisscom blue. Then there's a fictional content package, the blue+, and then there's a sports package which is blue Sports. And you're right. With all of these, we have also gone like OTT also to other access operators where -- which, by the way, for sports and fictional to some extent, they have all the time been on cable networks or also with Sunrise. Now we widened up the offering and also put it under 1 common brand umbrella, which makes marketing and sales so much easier. And honestly speaking, we had the best month ever in terms of content sales since we launched it in the end of September. So there's a high demand there. Switzerland is, in a way, particularly for sports paid content, an underdeveloped country because there traditionally has been lots of content in the free TV. As that is changing, we see that consumers are more and more adopting to paid TV packages. And then blue is the right win to monetize the sports rights not only this in the Swisscom access customer base, but also beyond. And we see promising first results from that.
Louis Schmid: Thank you very much, Dirk. And now, Alberto?
Alberto Calcagno: Okay. I'll take the third question. Definitely, FiberCop is a stand-alone project. So basically, as a great ambition to connect and to cover households in the black areas and the gray areas. And the company has specific target -- specific business plan. Also, the company will be entitled on posting directly the CapEx, is already fully funded. So all this CapEx would be financed basically by the wholesale revenues. And at the beginning from the copper revenues that they will be translated in the following years in the fiber revenues. So definitely, there will be no impact for what concerns CapEx in Fastweb at all. And as I said, it's -- we do believe that this is an industrial project. So that's why we participate to such project by contributing our, let's say, Flash Fiber assets. And with just a matter starting in 2021 to scale up operations and start to roll out the network, that's what the fiber has to do it.
Louis Schmid: Thank you very much. Next question comes from Steve Malcolm, Redburn.
Steve Malcolm: Yes, congratulations, Mario, and best of luck with your retirement. I'm very jealous, I have to admit. Right. 3 questions. 2 on Switzerland, 1 on Italy, if that's okay. First, just coming back to the COMCO investigation on fiber. I understand it only relates to new areas. But if the decision goes against you, will that impact your future fiber plans? Or will you just have to proceed on a less profitable basis going forward? So interested to hear your thoughts on that. Secondly, I just want to come back to the sort of mobile -- the service revenue versus OpEx discussion. I think it's fairly simple. You're losing CHF 250 million to CHF 300 million of service revenues. That's pretty high margin, call it, 80%, 85%. You offset that with under OpEx savings and the gap is still with various things. One of the big fellows has been device decoupling and SAC and SRC. Can you just confirm that the CHF 30 million to CHF 40 million this year, is that a cash or a noncash benefit you're going to get? And after that, do we assume 0? And also on the SAC and SRC front, can you -- are there more savings? You cut that budget enormously in the last couple of years. Should we assume that that's kind of run dry as well looking into 2022 and beyond? And then just on Fastweb. Can you just shed a bit more color on the 5% revenue growth? It looks like consumers slowed quite a lot in the last couple of quarters. Should we assume good growth in wholesale? And how much of that comes from build to suit? Is that a big contribution on the wholesale side looking into 2021?
Louis Schmid: Thank you, Steve, for your questions. The first question on the COMCO investigation is for Urs. The second question on service revenue, OpEx is for Mario. And the last question is clear. That is for Alberto.
Urs Schaeppi: Good. On this COMCO question, they are asking for a layer 1 product and it's too early to judge what is coming out. But there would be possibilities to offer a Layer 1 product from central office or also from manhole. So -- but it's too early to judge. And it's not our ambition to change now the rollout plans of Fiber to the Home. So we stick on our plans. We continue. Now we have to find -- yes, we must get more clarity on this COMCO process.
Steve Malcolm: So should we assume that the 60% is kind of sacrosanct? And will just the COMCO decision will determine the overall profitability of the project?
Urs Schaeppi: I haven't understood you. Could you remind...
Steve Malcolm: When we're trying to model, should we assume that you will proceed regardless, but the decision that COMCO gets to on layer 1 will determine how profitable your investment in fiber will be over those 4, 5 years?
Urs Schaeppi: Let's see. We can't touch this now because they don't question point-to-point, point to multi-point technology. And so if we can deliver a layer 1 product for this, the cost wouldn't be too high. That would be a low investment for a layer 1 product. So that -- I don't have a crystal ball. I don't know what they decide, but out of the view today, we don't think that there will be a big impact, but we don't know the decision.
Mario Rossi: And Malcolm, on your question on the guidance. That clear service revenue, CHF 250 million to CHF 300 million, that's high-margin revenue. Part of it will compensate, as indicated, is around CHF 100 million cost savings. Then the decoupling effect that started in Q2 2019 when we introduced a new product portfolio. And this item -- this reconciliation item washes through the balance sheet against the revenue. And we will have an impact of CHF 30 million to CHF 40 million in '21. That's a noncash benefit. And most of it will come in the first half because the contract typically have a lifetime of 24 months, and we introduced that in Q2 2019. And on the SAC, I would say, in the guidance, they are assumed more or less flattish. But you feel that the acquisition and retention costs nearly on a monthly basis, you saw that also during 2020, we had quite low in Q3 and then high acquisition costs and retention costs. Retention costs are more important in Q4.
Alberto Calcagno: Thank you. Then I take the third question. Basically, even if you do, clearly, the math would suggest a deceleration in the revenues in the fourth quarter. That was entirely due to a huge performance in Q4 2019 in the wholesale business, as I said, specifically to the rollout of BTS that has -- cannot be calendarized, and it depends on the orders from clients. But if you neutralize that definitely, all our segments, consumer, both mobile and wireline, enterprise and, I would say, the wholesale volume business are growing nicely. So you will see also in 2021 a consistent growth in all the 3 segments. Wholesale will be a contributor, as I explained in the presentation because clearly, we do expect the ultra broadband connections will increase. And so our appliance will require and will do more orders. But nevertheless, I think that we will have also a huge opportunity in growth in consumer and mobile and fixed and in the enterprise. Well, growth will come from both. We see a very strong business. Also, the start of the year has been consistent with where the markets are growing, and they will follow this trend all across the year.
Steve Malcolm: So we should think about 5% being evenly spread across consumer, enterprise and wholesale?
Alberto Calcagno: I think so. It's a good start. Let's do the 5%. Then we'll see.
Steve Malcolm: One final one. Can you just give us an idea of the sort of overall magnitude of build-to-suit revenue? And what the cash margin is, not the EBITDA margin, on those sales when you build in the CapEx to execute those contracts?
Alberto Calcagno: It depends on the -- there is always some CapEx attached because, yes, definitely, we are talking about high margin. High margin both, I'd say, in the ultra broadband connection and also on the BTS, with the difference in the BTS. Clearly, when you do a big rollout of the BTS, the first lots are clearly closest or on net. The other are sometimes you do need to do specific links. And therefore, they are generating CapEx. All in all, I'd say that wholesale typically high-margin CapEx with these specific -- sorry, the margin would be specific distinction from BTS and volumes, I would say.
Louis Schmid: Thank you, Alberto. Thank you, Steve. Thank you. The next question comes from Andreas Müller, ZKB.
Andreas Müller: Yes. I've got 2 or 3. One was on the margins. You mentioned that on the solution side, margins are going up. Can you give us the driver behind this development? Also, we know that solutions are growing. It's probably clear, but what are really these drivers also, say, in 2021? Next question on cost savings. You mentioned this CHF 100 million for the next years. What is going to be the driver beyond, say, 2022 for these cost savings? And then I would have an add-on probably on the multi-point issue.
Louis Schmid: Okay. Thank you very much, Andreas. I think the solutions outlook and improved profitability is a question for Urs Lehner. Second question, cost savings 2020 and beyond is mix between Mario and Urs, but I think it is a question for Urs. And then point to multi-point, I leave all to you, Urs.
Urs Lehner: Starting with the solution business. The profitability evolution I would say has 3 prime levers. One is, let's say, a better performance in professional services, higher percentage of workload, which was delivered to, let's say, impact on the way how we managed our professional services business, which have paid off in '21. That will remain way forward. Second one is, first, let's say, effects of simplicity activities. Mario mentioned the 1 -- or Urs mentioned the 1 B2B program, which starts to pay off in certain elements on process costs. And last but not least, we definitely have, let's say, good new business, new customers arriving in our managed services solution, where, let's say, the foundation, of course, is pretty given and all new customers are also paying off with variable costs. So therefore, I would say, these are the 3 predominant levers. And I say I see a sustainable trend of the 3 levers also way forward.
Urs Schaeppi: Good. Then on the cost side, how do we want to reduce our costs in the future? What are the main drivers behind it? For 2021, we have a clear road map. And the main drivers for 2022 and '23, I would say, that on a high level, the drivers is digitalization. Through digitalization, we can simplify the customer interface, the customer experience, which leads to less cost in the cost center, to less visit in the shops, to less field force intervention. And so we can reduce this cost. This customer touch point cost, automization, is second important driver. Just to give you an example. With artificial intelligence, we can decrease the operational costs in our networks. This is another topic. And the third main driver for cost reduction is simplification, if we can simplify our legacy infrastructure. Now we are phasing out 2G. We have done all IP migration. We will reduce the complexity of the different platforms in our network and the IT area. So with such things, we can reduce costs. And on the development side, through agile approaches, through sourcing approaches of development resources, we can also reduce cost. So it's a bunch of different drivers, which will reduce the cost in the future. On the point to multi-point issue, just to say what -- how COMCO is thinking. They think if we built in a point-to-point architecture, smaller ISPs don't have the ability to get a dark fiber access. So -- and if they don't get a dark fiber access, they can't drive innovation. They can't be innovative or it would be too expensive to get products on layer one. So that's the thinking of COMCO. We offer them -- we offer our competitors an access to our network. And just as an example, the biggest wholesale customer of Swisscom, he is using exactly this access, and he is very competitive in the market. So that's why we think we have good arguments why we have a compelling wholesale offer. And you could do also some other kind of wholesale offers on, you call it, caller quality bundling. It's a kind of product to decouple the life on the fiber cable. But that's not a very mature technology today. So I just can tell you, it's too early to say what -- how the way is going. But I think at the end, it will not totally change this fiber game, and that's why we also stick to our ambition to roll out now this technology and point to multi-point. That's the standard how operators are building today fiber networks. And why should it be other in Switzerland?
Andreas Müller: If you had to change the architecture, just theoretically, what would be per line the additional CapEx? You mentioned it's not much. Let's say, what would be the additional percentage? And would that fit into these CapEx brackets, which you've got already? Or would that change anything on the CapEx going forward?
Urs Schaeppi: It's too early to touch because we don't know in which way it is going. But changing a point to multi-point architecture to a point-to-point architecture, this would need a lot of time. So that's not just switched. And so that would also mean that additional CapEx would be stretched over different years. It's too early to say, but I think now we have to wait for the next weeks, and then we have more clarity on this precautionary measures. More I can't say.
Andreas Müller: All the best to Mario.
Louis Schmid: Thank you, Andreas, also for your question. And timing-wise, I think and suggest we do one last question before closing today's meeting. This last question comes from Ulrich Rathe from Jefferies.
Ulrich Rathe: I have just a quick one and a follow-up. When you talk about the sort of the fair share in [North Rose] and the activities on the second and third brand, I'm not entirely sure whether you are indicating an increased effort, a dedicated increased effort in 2021 versus sort of change in go-to-market, or whether that was indicating here is a continuation of what you have been doing already for some time. And if it's a change, what drives that change? That will be my question. And then just a quick clarification. I'm sorry to come back on the Sunrise, UPC question. But I heard slightly different color there from Mario and Urs. So is it just the MVNOs that are weighing in 2021, this CHF 15 million to CHF 20 million? Or is there another CHF 20 million expected to drop out of the fixed, which I heard Urs saying, but I'm not entirely sure.
Louis Schmid: Thank you very much. I think the first question goes to Dirk.
Dirk Wierzbitzki: Yes. Look, I think in the last couple of months, we have seen even an incentivized level of promotional and marketing activity, which we cannot completely ignore. I mean, obviously, we want to be the leader on many dimensions, but not the leader on the lowest price. As you imagine, that's not Swisscom's strategy and statue. Nonetheless, even in the price-sensitive market with the second and third brands, we need to ensure, let's say, what I call fair share, that we have traction there. So yes, I think we want to intensify overall our aggressiveness in that space. So to some extent, be more aggressive on promotions and marketing and the overall market approach. I think that's probably fair to say.
Urs Schaeppi: Then maybe I'll take the second one, and Mario can add, right? So I was maybe not too clear -- I was not clear enough. This CHF 20 million -- this CHF 15 million to CHF 20 million on MVNO, so we are quite clear that this will happening because they will migrate on the Sunrise network. This other CHF 20 million, which I mentioned, that's the view of Sunrise how they saw it when they published the merged UPC, Sunrise. And that's their view. That was their view. And I think that the impact -- it's not so easy to migrate customer from 1 day to the other, from an operator network to a cable operating network. So it will need time. It's a bit too early, but I think we will not have such an impact. And that's why the guidance Mario explained is -- that's the right view.
Louis Schmid: Thank you very much, Ulrich. And at this point, that is it from our side. Thanks for your attention and participation. Stay healthy, and have a nice evening.